Operator: Good morning. I would now like to turn the meeting over to Mr. Scott Parsons, Senior Vice President, Investor Relations. Please go ahead.
Scott Parsons: Thank you, operator and thanks to everybody for attending Alamos' First Quarter 2023 Conference Call. In addition to myself, we have on the line today, John McCluskey, President and Chief Executive Officer; Jamie Porter, Chief Financial Officer; Luc Guimond, Chief Operating Officer; and Greg Fischer, Senior Vice President of Finance. We will be referring to a presentation during the conference call that is available through the webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A. As we will be making forward-looking statements during the call, please refer to cautionary notes included in the presentation, news release and MD&A as well as the risk factors set out in our annual information form. Technical information in this presentation has been reviewed and approved by Chris Bostwick, our Senior VP, Technical Services and a qualified person. Also please bear in mind that all the dollar amounts mentioned in this conference call are in U.S. dollars, unless otherwise noted. Now, John will provide you with an overview.
John McCluskey: Thank you, Scott. I like to welcome everyone to our call. I'll start off by thanking Jamie Porter for his invaluable contribution to Alamos for nearly 20 years. Jamie joined Alamos in 2005 and it's been our Chief Financial Officer since 2011. He has been instrumental part of our leadership team helping oversee our growth from a single operation into a diversified intermediate producer with financial discipline that has allowed us to maintain one of the strongest balance sheets in the sector. Jamie, on behalf of the entire team, we wish you continued success in your future endeavors. I also want to congratulate Greg Fisher on his promotion to Chief Financial Officer, Greg has been an integral part of our senior management team for the past 13 years, over that timeframe, Greg has led our finance team and helped us instill the same financial discipline that has kept Alamos on the right track throughout its history. We are in excellent hands with Greg and look forward to his ongoing leadership and financial stewardship as we deliver on our strong outlook. Now starting with Slide 3, we had a strong start to the year, with costs in line with annual guidance and production of 128,400 ounces exceeding our first quarter guidance. This was driven by solid performances at all three operations, including an exceptional performance from La Yaqui Grande in its third full quarter of operation. We are well on track to achieve our full year guidance. Revenues increased to a new quarterly record of $252 million and cash flow from operations increased for the fourth consecutive quarter to $127 million. We also generated $11 million of free cash flow. This marks the fourth consecutive quarter of positive free cash flow and we expect stronger results in the second quarter and on an ongoing basis over the next few years, while we fund the Phase 3 Expansion at Island Gold. Now turning to Slide 4. We continue to advance our various growth initiatives during the first quarter. The Phase 3+ Expansion is progressing well with the Hoist House now up and the Galloway to be used for the shot thing now on site. We also announced the acquisition of Manitou Gold which will more than triple our land package adjacent to at a long strike from Island Gold, significantly, adding to the regional exploration potential. Additionally, we achieved a significant permitting milestone at our Lynn Lake project with the approval of its environmental impact statement. We expect to have an updated feasibility study completed on Lynn Lake towards the middle of the year. We also expect to complete the development plan for the Puerto Del Aire deposit in the latter part of the year, which will incorporate results from an expanded exploration program currently underway. We've already defined 1 million ounces of higher grade reserves and resources of PDA over the past two years and see excellent potential for that growth to continue supporting what we expect will be a significant mine life extension at Mulatos. Now, turning to Slide 5. These projects are all contributors to our short -- our strong short and long-term outlook. We are expecting a 9% increase in production this year to approximately 500,000 ounces and a 17% decrease in our all-in sustaining costs to approximately $1,000 per ounce by 2025. The completion of the Island Gold Phase 3 Expansion in 2026 will be a game changer for the operation and the company and we will grow our annual production to over 600,000 ounces per year and further reduce our costs. Longer term, we have the capacity to increase our annual production to approximately 800,000 ounces per year through the development of our Lynn Lake project. Over to Slide 6, as we continue to demonstrate we can fund this growth while generating solid ongoing free cash flow. At current gold prices, we expect to be generating well over $100 million in free cash flow per year while funding the Phase 3 Expansion and that will grow considerably, once the expansion is completed in 2026. I'll now turn the call over to our CFO, Jamie Porter for the final time to review our financial performance. Jamie?
Jamie Porter: Thank you, John. This will be my last quarterly conference call as part of Alamos and although, I'm sad to be leaving the company and the team. I'm very proud of what we've accomplished together. The outlook for Alamos has never been brighter and the team has never been stronger. I look forward to Alamos’ continued growth and know the company is in great hands with Greg Fisher as Chief Financial Officer. On to Slide 7, we sold 132,700 ounces of gold in the first quarter at an average realized price of $1,896 per ounce, which was $6 per ounce above the 11:00 PM fixed price for record revenues of $252 million. Total cash cost of $821 per ounce were below the full year guidance range and all-in-sustaining cost of $1,176 per ounce were at the top end. We were one of the few companies to meet our cost guidance in 2022 and are on track to do the same in 2023 with the solid start to the year. Our reported net earnings of $48 million in the first quarter of $0.12 per share included unrealized foreign exchange gains of $4 million recorded within deferred taxes and foreign exchange, partially offset by other losses of $1 million. Excluding these items, our adjusted net earnings were $45 million or $0.12 per share. Operating cash flow before change to non-cash working capital increased 16% from the fourth quarter and grew for the fourth consecutive quarter to $127 million or $0.32 per share. Capital spending totaled $84 million in the quarter with a similar run rate expected through the rest of the year, with construction activities on the Phase 3+ Expansion well underway. This included $27 million of sustaining capital, $52 million of growth capital and $5 million of capitalized exploration. Our free cash flow of $11 million in the first quarter was understated reflecting a temporary buildup of sales tax receivables in Canada. These receivables normalized in April with the collection of $20 million, which will contribute to much stronger free cash flow in the second quarter and through the rest of the year. Our balance sheet remained strong with no debt, $134 million in cash, $26 million of equity securities and $500 million of undrawn credit capacity. With stronger production and costs trending lower over the next several years, we remain well positioned to continue generating solid free cash flow while funding our high return growth projects and supporting ongoing returns to shareholders. I'll now turn the call over to our COO, Luc Guimond to provide an overview of our operations.
Luc Guimond: Thank you, Jamie. Moving to Slide 8, Young-Davidson continues to be a consistent performer with grades and mining rates of 8,000 tons per day, both in line with guidance driving production of 45,000 ounces. Total cash costs were within the full year guidance range and all in sustaining costs just above the top end of the range. Grade mine are expected to be in a similar range in the second quarter, an increase in the second half of the year, driving production higher, costs lower, putting the operation on track to meet its full year guidance. Mine site free cash flow totaled $16 million in the first quarter and with stronger free cash flow expected through the remainder of the year. Young-Davidson is on pace to generate another $100 million in 2023 and annually over the long term. Over to Slide 9, Island Gold produced 33,000 ounces in the quarter with great mining rates and costs all consistent with full year guidance. With the solid start and similar results expected through the year Island Gold is well positioned to achieve full year guidance. With the ramp up of construction activities on the Phase 3+ expansion, the operation used $21 million of cash during the quarter. Excluding exploration spending and the delay in collecting sales tax receivables, Island Gold continues to largely self-finance the expansion. Over to Slide 10, the Phase 3+ Expansion continues to progress with the installation of the 44kV powerline from the existing operation to the shaft area substation. Construction of the Hoist House building steel and external cladding completed and fabrication of steel for the headframe and collar house underway. Detailed engineering for the paste (ph) plant is ongoing, as well as basic engineering for the mill expansion and lateral development to support higher mining rates with the expansion. Installation of the hoist and erection of the headframe are expected to start in the second quarter and as you can see in the photo on the lower right corner of the slide, the Galloway, that will be used in the shaft sinking arrived on site last week. The shaft sink is expected to start in the fourth quarter, putting in expansion -- putting an expansion on track to be completed in 2026. Once completed Island Goal will be among the largest, lowest cost and most profitable gold mines in Canada. Moving to Slide 11, Mulatos district production totaled 50,500 ounces, up slightly from the fourth quarter with total cash cost and all in sustaining costs coming in below full year guidance. Mine site free cash flow increased to $37 million, the highest level in 10 years. This was driven by a very strong quarter from La Yaqui Grande with grades and throughput rates above annual guidance. Production from the Mulatos district will be first half weighted with the main Mulatos pit including El Salto expected to be depleted in the third quarter. Grade Stack and La Yaqui Grande are expected to decrease to rest of the year to be consistent with [Technical Difficulty]. As with our other operations Mulatos is well positioned to meet full-year guidance given the strong start to the year. Moving to Slide 12. La Yaqui Grande delivered exceptional results in its third full quarter of operations with production increasing to 38,400 ounces. Stacking rates averaged 11,300 tons per day, above design level for the second consecutive quarter and Grade Stack averaged well above reserve grades and guidance driving the record quarter. Both are expected to decrease the guided levels through the remainder of the year, supporting strong ongoing free cash flow generation. At PDA, we have an expanded drill program planned totaling 35,000 meters during the first half of the year. This follows a 71% increase in higher-grade underground reserves and resources announced that PDA earlier this year. The deposit is open in multiple directions and we are continuing to see good results which we expect will drive further growth. These results will be incorporated into a development plan for the PDA to be completed in the fourth quarter that we expect will outline a significant mine life extension at Mulatos. With that, I will turn the call back to John.
John McCluskey: Thank you, Luc. We've been a strong performer over the past year, which reflects our ongoing operational execution and unique attributes of the company. With long-life, high quality assets, high return, fully funded growth, declining costs, driving increasing profitability and one of the lowest political risk profiles in the sector, we are uniquely positioned gold producer and our outlook has never been stronger. We have everything we need to be successful and we believe all the attributes needed to continue that strong performance. That concludes our formal presentation. I'll now turn the call back to the operator who will open the lines for your questions. Operator?
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith: Thanks, operator. Luc, for Mulatos and specifically La Yaqui Grande, the grade was significantly higher than even the high end of the guidance which is 1.45 grams. So, was that a function of the grades in the model actually being better than what you're predicted or just happened to mine much higher grade in that quarter and the model is still pretty accurate. And then kind of thinking about where the grade might average out for the year, I assume it's going to be closer to the high end of that guidance, but I just wonder if you could give any guidance there?
Luc Guimond: Yeah. Hi, Kerry. Yeah. Look to start certainly with Mulatos, it's a little bit of both, I mean the mining rates have been going a bit quicker than we had initially planned. Certainly, so from a sequence perspective, we're getting into some higher-grade material, a little bit quicker. We've also been seeing some positive reconciliation, where we've been mining to date as well with regards to the extraction of the ore body. But I mean moving forward for the rest of the year we expect to be more in line certainly with the reserve grade of about 1.25.
Kerry Smith: Okay. That's helpful. Thank you. And then the second question just on Phase 3+ Expansion, I know just kind of getting going there, but so far is everything kind of tracking on get built on budget with what you expected or you had any surprises one way or the other?
Luc Guimond: No, I would say, everything is tracking quite well there to be honest with you. Certainly, the main focus this year is really around the shaft surface complex and the shaft itself. The shaft surface infrastructure is certainly been progressing quite well with regards to our timeline is I think, as I mentioned in my speaking notes, we're expecting to start thinking at the end of the year in the fourth quarter, which tracks quite well with our overall timeline and scheduled to be up and running at the end of Q1 2026.
Kerry Smith: Okay. And maybe John can answer this question. Just on this presentation appeal of the EIS has been late, what is the appeal actually pertaining to. I'm just trying to understand what that means?
John McCluskey: Well, it sounds, it's quite an unusual one. I don't know how well like can illuminate this beyond what's already been said, but generally when there is an objection to the First Nation it's got something to do with a lack of consultation. In this particular case, they seem more concerned with the compensation they are receiving under the IBA and whether or not they're getting a fair share of what will ultimately be distributed to First Nations through the IPAs and that's something that has never been brought before the Court before and we're just as interested as everybody else, what kind of stance, the Court is going to take in front of this. So it really remains to be seen.
Luc Guimond: Yeah. Kerry can just add a bit more to that as well. I mean we're building relationships there with two communities two, First Nations communities in Manitoba. One is progressing very well. I mean to the point where we're at the or we completed the hand shaped phase and we're just kind of working through the legal documents with regards to finalizing that IBA, impact benefit agreement having pen to paper. The other community, we continue to engage with and have open dialog with and still working through that process. Despite this judicial review.
Kerry Smith: Okay. And just so I'm clear is the objection is coming from both first -- both of the First Nations?
John McCluskey: No. Just the one First Nation Kerry.
Kerry Smith: Where you haven't actually got a handshake deal. Okay. I understand.
John McCluskey: Correct.
Kerry Smith: Okay. That's helpful. Thanks, Luc and John. And then just maybe for [indiscernible] (18:16). I know you did a bunch of drilling in Q1 at Halcon West and Carricito and with [indiscernible], is there anything there that you would care to talk about. Have you seen anything interesting?
John McCluskey: Kerry, Scott is not on the call today. But honestly, we've been getting great results just about everywhere we're drilling and we'll be publishing a follow-up news release on that in due course.
Kerry Smith: Okay. Great. Thanks, guys and good quarter, and congratulations to Greg on his new appointment and best of luck to Jamie.
Luc Guimond: Thanks, Kerry.
Jamie Porter: Thanks, Kerry.
Operator: Thank you. The next question is from Mike Parkin from National Bank. Please go ahead.
Mike Parkin: Thanks, guys. First question would be with a bit of a follow-up on the La Yaqui Grande, you're obviously -- you've already said you're mining a more elevated rate than budget, your staffing is benefiting by the 10% in grades good, with all that and it did supporting an extremely low cost operation. Are you seeing, like looking at the resources there isn't a huge amount, but do you see any potential where, with the cut-off grade being able to be tweaked a bit to build in additional tons or you're still feeling pretty certain that as we know it today in terms of our reserve base that's likely to be the end result?
Luc Guimond: Yeah. Hi, Mike. It's Luc here. I'd say the as far as the reserve base that we have there the La Yaqui Grande is pretty well defined. So I mean, certainly as we think the timelines we're talking about as far as the mining phase of that project. We're pretty confident with what we have defined already that will obviously complete all of the mining of what's required there and stacked out over time. But at this point, we're not looking at anything additional.
Mike Parkin: Okay. And then switching over to PDA where certainly the resource and reserve hasn't growing quite a bit, you've got an like mini-mill on care and maintenance. That seems like scale is proving to be probably too small for the nearly 1 million ounces of full resources. But are you guys thinking just kind of continue to grow that this could become a more meaningful size operation when it comes online. Is it still kind of like the San Carlos stays where you would use a mill and sell our gold concentrate?
John McCluskey: Yeah. We're still working through that process, but I mean certainly based on the reserve base that we have currently we're looking at something bigger than we've done in the past there with regards to the mining rates from some of the previous underground mining. We've done in the Mulatos district, as well as the smaller milling operation that we have basically generated a floor contrast and then we shifted off-site. So we're going to be working through our mine plan and it looks to have that completed by the end of the year and then accordingly we'll size the milling operation to whatever the mining rights can be supported. But we are looking at something bigger. Probably in the neighborhood, currently we're probably thinking around 1,500 tons per day. But again, we'll have a better handle on that by the end of the year.
Mike Parkin: Okay. Great. That's it from me. Congrats to Jamie in his new job and congrats to Greg in his new bigger role. Thanks again, guys. And great quarter.
Jamie Porter: Thanks, Mike.
John McCluskey: Thanks, Mike.
Operator: Thank you. [Operator Instructions] The next question is from Carmen Perez from Bank of America. Please go ahead.
Carmen Perez: Hi. Thank you for the update. I think earlier in the presentation we alluded to, the share price outperformance over the last year, which is obviously extremely impressive. Can you just sort of talk about maybe how this might be impacting your capital allocation priorities and what I mean by that is, is there any change as to whether you are contemplating buying back stock. Has that changed or do you view maybe your shares as acquisition currency perhaps if M&A opportunities, makes sense?
John McCluskey: Well, the short answer is, there is no change to our capital allocation plans, everything is going to be on track. As far as our purchasing of stock in the market goes we tend to be very, as I say circumspect about that when we see sort of an unnatural sort of decline in the share price, heavy selling generally accompanied by a lack of investor interest in this sector. At those junctures we tend to be active in buying stock. But we're not active at the moment. And as far as M&A is concerned, you can argue M&A always makes sense, but it really comes down to the opportunity, you can make good deals in a bad market and you can make good deals in a good market and you can make bad deals in those various markets, so we tended to be very active when, when the market is soft and we tend to pull back and focus on our growth, internal growth and cash flow generation, when the market is stronger. And so that's what you see us doing now, so there is less of an emphasis on M&A, but if you recall a few years ago when the market not so interested in M&A, that's when we were the most active. So that contrarian approach is, it's something that has worked for us very, very well, but it doesn't mean you can't make -- you can't do an M&A transaction and the kind of market that we're in, you just tough to be very particular about what it is you're buying and what you're willing to pay.
Carmen Perez: That's very clear. Thank you. That's it from me.
Operator: Thank you. There are no further questions at this time. This concludes this morning's call. If you have any further questions that have not been answered, please feel free to contact, Mr. Scott Parsons at 416-368-9932 extension 5439. Please disconnect your lines at this time. Thank you for your participation.